Operator: Good morning, and welcome to the earnings conference call for the period ended March 31, 2022, for Apollo Investment Corporation. [Operator Instructions] I will now turn the call over to Ms. Elizabeth Besen, Investor Relations Manager for Apollo Investment Corporation. 
Elizabeth Besen: Thank you, operator, and thank you, everyone, for joining us today. Speaking on today's call are Howard Widra, Chief Executive Officer; Tanner Powell, President and Chief Investment Officer; and Greg Hunt, Chief Financial Officer. I'd like to advise everyone that today's call and webcast are being recorded. Please note that they are the property of Apollo Investment Corporation and that any unauthorized broadcast in any form is strictly prohibited. Information about the audio replay of this call is available in our earnings press release. 
 I'd also like to call your attention to the customary safe harbor disclosure in our press release regarding forward-looking information. Today's conference call and webcast may include forward-looking statements. You should refer to our most recent filings with the SEC for risks that apply to our business and that may adversely affect any forward-looking statements we make. We do not undertake to update our forward-looking statements or projections unless required by law. 
 To obtain copies of our SEC filings, please visit our website at www.apolloic.com. I'd also like to remind everyone that we've posted a supplemental financial information package on our website, which contains information about the portfolio as well as the company's financial performance. At this time, I'd like to turn the call over to our Chief Executive Officer, Howard Widra. 
Howard Widra: Good morning, everyone, and thank you for joining us today. I'll begin today's call with an overview of results for the quarter followed by an update on our noncore assets, which we are pleased to say have been reduced to a nominal amount. Following my remarks, Tanner will discuss the market environment, review our investment activity, provide an update on Merx and discuss the portfolio's credit quality. Lastly, Greg will review our financial results in detail. We'll then open up the call to questions. 
 Beginning with our results. Net investment income for the quarter was $0.42, which reflects a slight increase in interest income and strong fee and prepayment income. We recorded a net gain on our corporate lending portfolio, which continues to perform well. Overall, we had a net loss in our portfolio, primarily driven by a net loss on Merx due to exposure to Russia, which Tanner will discuss later during the call and on our remaining shipping investment, which was adjusted based on the expected net proceeds from a pending sale. Given the total return feature in our incentive fee structure and the net loss in our portfolio, incentive fees significantly declined quarter-over-quarter. We ended the period with net asset value per share of $15.79. 
 Shifting to an update of our portfolio. We continue to successfully execute our strategy of investing in senior secured first lien middle market loans and also continue to make substantial progress reducing noncore assets with the receipt of significant cash proceeds from the repayment of noncore assets. During fiscal 2022, proceeds from the sale of noncore assets totaled $47 million, including $32 million in the March quarter. At the end of March, noncore assets totaled $135 million at fair value and represented about 5% of the portfolio. Post quarter end, we have received approximately $6 million of additional proceeds from noncore assets, and we have good visibility into additional repayments in the coming quarters as we are in exclusive negotiations on 2 of our [ names ], which will reduce our noncore exposure to approximately 3% of the portfolio. 
 I will now provide some color on these sales. Beginning with our shipping investments during the March quarter, the Dynamic Product Tankers closed on the sale of 4 vessels in its suite, generating approximately $28 million of cash in the quarter. You will see a $3.1 million position in Dynamic at the end of March on our scheduled investment relates to net working capital adjustments. Since the end of the quarter, we have received a $1.4 million payment from Dynamic and expect to receive the remaining balance by the end of June, at which time we will have fully exited that investment. We're in the process of selling the vessels of MC and our other shipping investment. The fair value of our investment in MC was $34.3 million at the end of March, reflecting the anticipated exit values from 2 proposed transactions, which will be supported by a small amount of seller financing. We have signed a PSA on 2 vessels, which we expect to close by the end of June, and we anticipate closing on the sale of remaining vessels in the MC fleet in the September quarter. 
 Moving to our oil and gas investments. We have some positive developments to announce. First, we signed a letter of intent to sell our investment in Spotted Hawk, and we expect the purchase agreement to be finalized in the next couple of weeks. We expect [indiscernible] in the next few months, which we estimate will generate debt proceeds at or above our $30.1 million mark at the end of March. The demand for this asset is high and there are multiple interested parties. Glacier, another oil and gas position is also benefiting from the increase in the price of oil. At the end of March, the fair value of the investment in Glacier was [ $62 ] million. The company continues to perform well as AINV received a $3.5 million paydown during the quarter and also wrote up the investment by $3.6 million. Post quarter end, Glacier paid AINV an additional $4.5 million on its outstanding obligations, which represented approximately 73% of the fair value position at the end of March. 
 Pro forma for post quarter end activity, including pending sales, noncore assets totaled approximately $63 million, representing approximately 3% of the total portfolio at fair value. We are focused on monetizing the remaining noncore assets and are cautiously optimistic that there may be some upside in some of the remaining noncore positions. Our $42 million investment in Carbonfree Chemicals makes up the vast majority of the remaining noncore assets. As a reminder, our investment in Carbonfree consists of an investment in the company's proprietary carbon capture technologies and the company's chemical plant. Carbonfree is benefiting from strong interest in carbon capture, utilization and storage as a part of broader ESG trends. 
 Going forward, we do not intend to break out noncore assets as a separate category in our supplemental reporting. Of course, we will continue to disclose the detail of each investment on our scheduled investments, and we'll provide updates each quarter. We also continue to reduce our exposure to junior capital positions and received $7 million of second lien corporate loan paydowns during the quarter. 
 Shifting gears a bit, let me take a minute to remind everyone about the construction of our corporate lending portfolio given the current operating environment, which is characterized by elevated inflation, higher interest rates, higher energy prices and other geopolitical factors. Similar to our positioning heading into the pandemic, we have built what we believe to be a well-diversified corporate lending portfolio of true first lien floating rate loans invested in less cyclical industries. Our corporate revenue portfolio is 94% first lien with weighted average attachment point of 0.2x, a key metric, which demonstrates that we are truly invested at the most senior level of the capital structure. Additionally, 87% of the corporate lending portfolio is sponsor backed, which means these companies have financial and operational support from the financial sponsors who own it. We feel very good about the ability of our corporate lending portfolio to withstand potential economic headwinds. 
 In terms of new opportunities, we believe AINV's ability to invest in loans originated by MidCap Financial is one of our most significant competitive advantages. In addition to cash flow loans to middle-market sponsor-backed companies, MidCap's product offering includes life sciences lending, asset-based lending, lender finance and franchise finance, products which are typically less competitive to have a lower correlation with the broader credit markets. At the end of March, these specialty products totaled approximately $340 million, representing about 16% of the AINV's corporate lending portfolio at fair value. 
 Turning to our distribution for the quarter. The Board has declared a base distribution of $0.31 per share and a supplemental distribution of $0.05 per share for a total distribution of $0.36 per share, consistent with NII for the March quarter, adjusted for a normal level of incentive fees. Both distributions are payable on July 7, 2022, to shareholders of record as of June 16, 2022. 
 With that, I'll turn the call over to Tanner to discuss the market environment and our investment activity. 
Tanner Powell: Thanks, Howard. Beginning with the market environment, in the first quarter of 2022, risk premiums increased across asset classes as concerns about the impact of inflation on global growth and geopolitical unrest in Russia and Ukraine drove investors to the sidelines. In the U.S. leveraged loan and high-yield markets, volatility and weakness in secondary prices resulted in significantly reduced new issuance levels compared to the record-setting price in 2021. This type of broader market environment benefits providers of private credit who offer borrowers fully underwritten solutions at agreed upon pricing and terms with certainty of execution irrespective of broader market conditions. 
 From a portfolio allocation perspective, we believe that in the current rising rate in an inflationary environment, strategies focused on diversified floating rate portfolios, particularly those with first lien can offer highly attractive risk-adjusted returns. 
 Moving to investment activity. MidCap Financial was very active during the March quarter with $4.4 billion of new originations. AINV's level of investment activity was driven by our focus on operating within our target leverage range. For AINV, new corporate lending commitments for the quarter totaled $116 million across 16 companies for an average new commitment of $7.2 million. 94% of the new commitments were leveraged lending with balance sheet -- with the balance in lender finance and life sciences. All new commitments were first lien floating rate loans with a weighted average spread of 612 basis points and a weighted average net leverage of 4.7x. 98% of new commitments were made pursuant to our co-investment order. 
 Gross funding for the quarter totaled $115 million, excluding Merx and revolvers. Sales and repayments totaled $141 million, excluding Merx and revolvers. Net revolver repayments were $28 million. In aggregate, net repayments for the quarter totaled $54 million.
 Moving to Merx, our aircraft leasing portfolio company, AINV's investment in Merx had a fair value of $299 million, representing 12% of the total portfolio at the end of March. It is our intention to reduce our investment in Merx through selling aircraft and deemphasizing its servicing business. During the quarter, we recorded a net unrealized loss of $19.7 million on our investment in Merx, primarily related to our Russian exposure. At the time of Russia's invasion of Ukraine and the imposition of sanction, the Merx owned portfolio included 4 aircraft on lease to 2 Russian airlines. 3 of the aircraft are in Russia and 1 was outside of Russia for maintenance at the time of the invasion. The 3 aircraft that remain in Russia have been reregistered in Russia. The aircraft that was outside of Russia remains registered in Ireland and has now been repossessed by Merx and moved to a storage facility in the EU. In response to the various sanctions imposed by the United States and the European Union, Merx terminated the leases on all of these aircraft.
 The Merx team has been actively engaged in discussions with the lessees regarding the grounding and redelivery of these aircraft. No aircraft in the owned fleet are in Ukraine or on lease to Ukrainian airlines. The 3 aircraft in Russia generated monthly rent of approximately $516,000 combined. As a reminder, Merx owned fleet is financed through several independent limited recourse financings. All 4 of the aircraft that had been leased to Russian airlines were held in an aircraft securitization known as MAPS 2019. The 3 aircraft remaining in Russia represent approximately 11% of total adjusted base value in the collateral pool of MAPS 2019. As is standard practice and required under the terms of the leases, the lessees have an obligation to ensure the aircraft. Merx further maintains a contingent insurance policy on the aircraft. We are vigorously pursuing all claims available to us under these insurance policies. 
 Management based on consultation with legal counsel believes we have valid insurance claims for the total loss value of the aircraft. We are claiming under both the lessee policies and under both the lessee's policies, which are placed in the Russian market and prior to sanctions have been reinsured with reputable insurers in the London and international markets and our own contingent policy, which is placed by [ Aon ] with reputable insurers in the London and international markets. Our valuation reflects various uncertainties, including the probability of recovery under our claims, among other factors, which resulted in a meaningful decline in the value of these aircraft during the quarter. 
 Turning to the overall AINV portfolio. Our investment portfolio had a fair value of $2.52 billion at the end of March across 139 companies in 26 different industries. Corporate lending represented 83% of the portfolio, Merx represented 12% and the noncore and legacy assets represented 5%. As Howard mentioned, pro forma for post quarter in monetizations, including pending asset sales, noncore assets represented 3% of the portfolio at fair value. First lien assets represented 94% of the corporate lending portfolio. At the end of March, the weighted average spread on our corporate lending portfolio was 611 basis points. We continue to monitor the impact of inflation on our portfolio companies. We believe our portfolio is generally weighted towards industries that are less impacted by inflation and supply chain issues. It's worth noting that none of our corporate lending portfolio companies are domiciled in Russia or the Ukraine. 
 Moving to credit metrics. At the end of March, the weighted average net leverage of the corporate lending portfolio was 5.29x, the weighted average attachment point was 0.2x and the weighted average interest coverage ratio was 2.9x. Investments made to our co-investment order represent 85% of the corporate lending portfolio at the end of the quarter. No investments were placed on nonaccrual status during the quarter. At the end of March, investments on nonaccrual totaled $15 million or 0.6% of the total portfolio at fair value, essentially unchanged quarter-over-quarter. 
 With that, I will now turn the call over to Greg, who will discuss the financial performance for the quarter. 
Gregory Hunt: Thank you, Tanner, and good morning, everyone. Beginning with our AINV statement of operations. Total investment income was $54.7 million for the quarter, down slightly quarter-over-quarter. Results for the quarter reflect a slight increase in interest income and strong fee and prepayment income. Weighted average yield at cost of our corporate lending portfolio was 7.7% at the end of March, up from 7.6% at the end of December. The weighted average spread of our corporate lending portfolio was 611 basis points compared to 605 basis points at the end of December.
 Net expenses for the quarter totaled $27.9 million, down $4.6 million quarter-over-quarter, primarily driven by the decrease in incentive fees. As a reminder, AINV's incentive fee on income include the total return hurdle with a rolling 12 quarter [indiscernible] given the net loss during the quarter incentive fees during the quarter totaled approximately $1 million compared to $5.4 million last quarter. Net investment income for the March quarter was $0.42 per share and net leverage was 1.51x.
 On Page 16 in the earnings supplement, we disclosed the net gain or loss by strategy over the past 5 quarters. During the March quarter, our corporate lending book had a net gain of $3.8 million, $0.06 per share concentrated in a few positions. As Tanner mentioned, we recorded a $19.7 million unrealized loss on Merx or $0.31 per share related to our exposure to Russia. We recorded an additional $6.7 million or $0.11 per share on noncore legacy assets driven by losses from our remaining ship investments and reflect [ realizational ] rates as Howard had spoken about.
 NAV per share at the end of March was $15.79 or [indiscernible] decrease quarter-over-quarter. The decrease is attributable to a $0.36 per share loss in the portfolio, offset by $0.06 of net income relative to the distribution.
 Moving to capital. Our liquidity position remains strong with undrawn revolver capacity well in excess of unfunded commitments to borrowers. Consistent with our historical cadence, we do expect to amend our revolving credit facility in the fall. Given the increased focus on the current interest rate environment, I'd like to provide some comments on the impact of higher reference rates on our portfolio. We are well positioned to benefit from rising interest rates. We expect increases in short-term rates as they exceed the floor on our investments that have a positive impact on net income. The average floor on our investment is approximately 1%. Short-term interest rates have increased significantly with LIBOR increasing from 21 basis points at the end of December to 96 basis points at the end of March. And as of yesterday, LIBOR was about 150 basis points.
 Based on quarter end rates, we estimate a 100 basis point and a 200 basis point increase in reference rates would result in annual incremental earnings of approximately $0.07 and $0.19 per share. Regarding stock buybacks during the quarter and post quarter end, AINV repurchased approximately $2.4 million of stock, which leaves us approximately $30 million available under our authorization for future stock repurchases.
 This concludes our remarks, and we'd like to open up the call to questions. 
Operator: [Operator Instructions] Our first question will come from Arren Cyganovich with Citi Global Markets. 
Arren Cyganovich: I was wondering if you could talk a little bit about the spread widening, if there's any kind of improvements in terms of documentation, just given the kind of volatility we're starting to see in the more liquid markets and if that's starting to move down into the less liquid private markets as well. 
Howard Widra: Yes. The spread widening, I'd say is, at least with regard to things being proposed right now. I wouldn't say the documentation is yet. And obviously, that's sort of like an imperfect thing to monitor because deal by deal. And as has been the case really for the last, I don't know, year or 2, there have been some groups that have driven a lot of sort of the degradation of the documents and they are still active. So the market has not moved yet, I'd say, on terms, but I would expect it to. We've actually spent a lot of time discussing in the past couple of weeks about where we want to lend and how we want to make choices in a market that's going to look different 6 weeks from now. It just takes a little while to work its way through. So I'd say, yes, on the pricing and no on the terms yet. 
Arren Cyganovich: And then you're still running kind of at around 1.5x net leverage. It's still not super high relative to your limit, but it is higher than I'd say most BDCs have been operating new lending portfolios. Is there an intention to bring that down? Or do you continue to expect to run around the 1.5? 
Howard Widra: Yes. I mean we've talked about our range being 1.4 to 1.6, but likely on the sort of the lower end of that range. So that's usually, like we don't expect necessarily to creep up to 1.6. So this goes to the underlying risk of the portfolio in large amount, like when we continue to focus on -- trying to focus on everybody that our attachment point is 0.2. There's a lot of loans that are listed as first lien loans that led a turn of leverage in front of them from banks. And so if we're 1.5x leverage and we're true senior where we're at 1.25 leverage, and we have a turn in front of us. They're actually the same on a risk perspective. So we feel like from a risk perspective, we're actually at a very similar range to what people are doing, but no second lien, true first lien and then also some percentage of asset platforms, which are -- which have very, very low loss [indiscernible]. So we feel like the risk level is similar to where people are, but the flip side is, everybody asked the question you just asked [indiscernible] whatever, but your leverage [indiscernible]. So we'll -- we hear that. So we will -- our intention is to sort of like move it down as sort of like the opportunities make sense. 
Arren Cyganovich: That makes sense and you should benefit from the rising rates as well. So that should give you some opportunity in the future a little bit. The last question I had is on the Russian aircraft. Is that [ peaking ] the insurance payment on that? And do you expect that to be kind of a protracted process in -- or is it something that you might expect to be finished within the next couple of quarters? 
Tanner Powell: Yes. I'm able to take that one, Arren. The answer is yes. It will be disputed, not surprisingly from the other side and the insurance companies. And ultimately, it is a problem that is not unique to us. I guess, unfortunately, more broadly. And thus, you have, as a result, quite a bit of focus on it and quite a bit of institutional haft kind of on our side, so to speak. As you would expect, broadly speaking, for lessors that are in a similar position to be treated relatively similarly. So a couple of quarters at least, certainly, and it will have a lot to do with how it progresses from here. But as I will call attention to in our prepared remarks and also call attention to other public lessors in the statements, we think 100% that are our claims have merit and intend to pursue them vigorously. 
Operator: Our next question will come from Kyle Joseph with Jefferies. 
Kyle Joseph: I'll start on Merx, Tanner, obviously, some would consider onetime negative impacts in the quarter. Can you give us a sense for how the business is performing outside of that? Obviously, we know the domestic airline industry is crushing it. But on a global basis, give us some more color given Merx's global exposure. 
Tanner Powell: Yes. Thanks for the question, Kyle. And I think your dichotomy actually is a good one, is the issues in Merx and the write-down that we saw was really just related to what our assessment of the Russia situation and the insurance claims, as we mentioned. And more broadly, we have seen a market that continues to heal itself. You obviously continue to be very volatile in terms of fuel prices and inflationary impacts. But we have seen a progressive healing within the broader air traffic market, which has benefited not surprisingly, aircraft values and underlying airlines as things have come back online, and that was reflected in the stability outside of the Russia situation within the Merx portfolio. 
Kyle Joseph: Got it. And then obviously, your nonaccruals were stable. How is the corporate lending portfolio doing in terms of revenue and in EBITDA, either growth or margins? And then can you give us any sense for how -- your thoughts on the shift in rates impacting credit in the middle market? 
Tanner Powell: Yes, absolutely. And this is something that we track pretty closely. I'll make the same caveat that I make each and every quarter. We do our best to try to disaggregate the portfolio from those names that are particularly acquisitive to try to get as close to a more organic number. Obviously, given our capital is particularly attractive to sponsors that want to roll up industries, that gets increasingly difficult. But notwithstanding, when we do our best to try to tease out those issues of comparability, we're seeing revenue fine, kind of in the mid-single digits. In aggregate, you've seen -- obviously, we were in an inflationary environment even before the invasion of Ukraine and would expect some of that to have knock-on effects, particularly as it relates to oil prices and food. But we did see a slower growth on EBITDA. And keep in mind that those results would not have digested kind of the most recent rise in commodity prices.
 And I think as a generic statement or speaking generally, I think it once again reaffirms our strategy, which Howard discussed, wherein we're creating these companies oftentimes at first dollar took kind of a 60% LTV. And the effects on these companies is unequivocal, higher interest rates will inevitably increase costs and there's different levels of how inflationary effects affect company's earnings. But again, with how we've positioned the portfolio and where we're creating these companies, we think that, that gives us a lot of mitigation to those effects and ultimately, our credit quality and the loans and securities that we were investing. 
Kyle Joseph: Got it. And then one last one for me. Just where we are in your fiscal first quarter, can you give us a sense for investment activity, not asking for guidance, but maybe just comparing it to the quarter end March 31 for reference? 
Tanner Powell: Yes. It remains strong. And I think that's a couple of things. I think broadly speaking, we are seeing a decline in M&A more broadly. I think there's a little bit of -- as we mentioned in our prepared remarks, private solutions. This is our opportunity to shine to an extent. And then the other point there, Kyle, which we tried to make ad nauseam is that the BDC and AINV really benefits from the dynamic wherein we're a $2.5 billion fund with an origination for sales force that's sourcing for kind of $25 billion of capital. And so the activity levels, even in markets where M&A is more challenged, our position is small relative to the overall business enables us to calibrate our originations and not suffering even in periods where M&A might decline. 
Howard Widra: And I'll just put a number on one thing. And I think in the first quarter, MidCap did $4.4 billion of origination; in April, it did $2.2 billion. [indiscernible] will not be as strong as that. But as Tanner said, the activity is pretty similar. The mix may be a little bit different, meaning there may be some more asset-based lending as the market moves a little bit. But still, the velocity is pretty good. That doesn't all trickle through to AINV, especially when we're at our 1.5x leverage because we're picking those spots differently. 
Operator: Our next question will come from Kenneth Lee with RBC Capital Markets. 
Kenneth Lee: It sounds like you're making great progress on the noncore asset dispositions and by now, Carbonfree is the remainder there. Just wondering if you could just give us what's your best sense on a potential time frame for disposition there? Is that dependent on any kind of milestones or other factors? 
Howard Widra: Tanner, do you want me to do it? 
Tanner Powell: I'm happy to do it. Sorry. Thanks for the question, Ken. This is -- as we've talked about in the past, a company and a technology that we're really, really excited about and one that is squarely in the fairway of the broader very attractive secular trends around ESG and their carbon capture technology is something that is modular at really great traction with companies to date, and we would expect that to only be enhanced in the years to come and that becomes even more of a focus. It is earlier stage. And I think in more volatile markets, probably fewer opportunities for disposition. I think the good news with respect to -- amongst many good news, but one very good fact is that the company had raised a convert and so they have capital to execute on their business plan. But I would think of this as a longer-term halt, one that will likely not avail itself of an exit within 2022. But importantly, one way to continue to execute on its growth plan and prove out, it's a very attractive solution to refineries and then the broader industrial complex with regards to its carbon capture technology. 
Kenneth Lee: Great. Very helpful there. And in terms of a follow-up and impact, looking at impact of rising short-term rates on portfolio companies, will you be able to give a sense of how the portfolio [indiscernible] impacted if rates were to sharply rise [indiscernible]? 
Tanner Powell: Yes, sure. And Ken, just to clarify, your question is that the underlying company level or at the AINV level? 
Kenneth Lee: The underlying portfolio company level. 
Tanner Powell: Yes, sure. So if we reported our -- the interest coverage, first of all, I make at the risk of being redundant here. Our solutions in our origination tries to focus on stretch senior and in a more limited way unitranche-type financing and overall lower levered profile, which is one benefit that we have in terms of our origination and portfolio construction. As of that first quarter, when LIBOR was firmly below the floor, we were at 2.9x. And so that number would not have any of the effect of anything above 1 but suggest some really nice cushion as rates increase.
 Now certainly, it will be path-dependent from here, and we can all do the math to the extent that it -- LIBOR ultimately -- LIBOR-SOFR, ultimately outperforms it's rising forward curve that's shown on the screen. But we're in a place of pretty good coverage. And again, I think that emanates from the lower levered profile and intentional focus on stretch senior solutions from our MidCap origination engine. 
Operator: Our next question will come from Finian O'Shea with Wells Fargo Securities. 
Unknown Analyst: It's [indiscernible] on for Fin. I just have 2 questions for Tanner kind of related so loan book out there. It looks like, if I'm looking at this correctly, Merx wrote down their assets on the Merx balance sheet by $47 million for the jets in Russia. Just hoping to get some idea on whether that reflect basically the full [ value ] of those jets or if that's like probability weighted? And then secondly, on the AINV balance sheet, Merx is down, say, $20 million. Does the difference there basically reflects some probability weighted assumption of what you'll recover? Just any color you can give on that. 
Tanner Powell: Yes. Very, very good question. So when we look at the Russia situation, again, distress, we think that our claims are very strong and have merit and fully intend to pursue a full payout owing to the potential that it's either a negotiated solution and/or could be protected. We took a discount to the value, the insured value based on the methodology of probability weighting that you kind of alluded to in your question there. And if you think about it, the value was somewhere in the mid-40s, and we took a haircut to $20 million, $25 million kind of on a net discounted value as what we have in our valuation on those Russia planes in particular and assume that those proceeds take about 2 years to come in. And then as it relates to the other movements within Merx, there were some ins and outs, but outside of that Russia write-down of roughly $20 million, the Merx portfolio was roughly flat and in line and that goes to that comment that I made to Kyle's question that we are seeing some stabilization outside of the Russia specific situation. 
Howard Widra: Let me just jump in. The difference between the 2, between the Merx financial statements and the valuation is the Merx write-down of the assets was the full value under GAAP, which is the same thing you're seeing from all lessors because under GAAP, if you don't -- if you no longer have the asset, you can't have it on the balance sheet. On the same token by GAAP, you don't put the insurance claim on the balance sheet as an asset because it's had some contingency. So the balance sheet shows the full reduction, but the valuation rules obviously require you to value what your asset is worth. And so Tanner just walked through [ why the ] valuation, but that's why there's a difference. And it's not that different than you see from some of the big lessors who have big exposure. They said 2 things. We've written down our exposure completely, and we expect to recover a lot, right? That's sort of what you've seen from the industry, and that's what this shows. And we feel like our valuation methodology was relatively conservative versus the strength of our claims. 
Operator: Our next question will come from Robert Dodd with Raymond James. 
Robert Dodd: Different angle on Merx. I think, Tanner, you said, with the intention to reduce the investment in Merx by selling down aircraft obviously looks -- has been selling some. I mean, is the plan essentially to reduce the ownership of aircraft effectively on the AINV balance sheet to 0, i.e., take the corporate lending book up to 95% plus of all the assets and reduce that. And obviously, Merx also do some servicing for some other things? Or is there some in between where you expect Merx to still be a -- I wouldn't say material, but a decent chunk of the portfolio. What -- can you give us any color on how big you expect to or how much you expect to shrink Merx' ownership of aircraft exposure on the BDC balance sheet, if that makes sense? 
Howard Widra: Yes. I mean we -- I mean significantly, if not completely. It actually goes to what Tanner was saying before, the rest of Merx is actually sort of -- had sort of, if you will, like recovered to the extent that they were lease problems from COVID, they've been replaced and released, and we were in a good spot at the same time that there was like a good market for planes and feel like there's a good market for assets. Obviously, the Russia created some noise, both with regard to just the fact that there's 3 planes there, but also now one of the assets is an insurance claim. But just putting that aside because it's not that large an amount. Our goal is to basically have the assets be very minimal or not a part of the portfolio long term. 
Robert Dodd: Got it. I appreciate it. The tough one. Any color you can give us on the time frame for that? Obviously, the weighted average life left on a lease is 4 years, but often it's easier to sell an asset that's still under lease than one that's out. So any color you can give us on how fast that might occur? I mean bottom line, obviously, the noncore is now very small, Merx is shrinking as well. I mean what kind of time frame could we expect here to be reporting, say, just the portfolio is just corporate lending? 
Howard Widra: Well, certainly, in this calendar year, you should see a significant reduction. There's a question of whether all the assets are sold together or all the assets are sold in their component parts. And if -- and there's different securitizations or different pools. If they're sold in their different pools, there's some tax considerations with regard to timing, depreciation versus gain on the planes. And so that could drive some timing issues. And so it's -- if you got into the weeds, your eyes would cross. But the answer is that we would like at this time next year, we would expect to be out or to have a view like have stuff under contract. I mean certainly, obviously, as you know, that's no guarantee, and we want to make sure, but we think our valuation is right and constructive. We think there's a market for these planes and we're focused on it. 
Operator: Our next question will come from Melissa Wedel with JPMorgan. 
Melissa Wedel: We're hoping to get a little bit of clarification on the elevated prepayment and fee income. Could you break back down for us on sort of a per share basis and what that contribution was this quarter? 
Howard Widra: Yes. I think, Greg, you have it on per share. I'm going to pull up. I mean it was about $4.9 million, right? Greg? 
Gregory Hunt: Yes. 
Howard Widra: Yes. So $4.9 million. 
Gregory Hunt: [indiscernible], right? 
Howard Widra: Yes. I mean it depends how -- we didn't have an incentive fee this quarter, but presumably, that rolls to incentive fee. So it depends how you look at that. But like if -- we have said our expectation for quarters is -- for certain quarters or for the average quarter is about $3.5 million per quarter. The last 2 quarters have been higher than that. I think the one prior to that, which I don't know the numbers, was lower than that. And hope and think based on this activity, that the $3.5 million is like a low estimate. But if you look at where we generated those fees from, a lot of sort of little and medium-sized fees based on sort of just normal turnover of assets. So there wasn't anything huge or disproportionately large. 
Melissa Wedel: Okay. That's helpful. And then looking at some of the exits that you've talked about already at this quarter, is there anything we should be thinking about in terms of sort of above or below or just in line with the longer-term average of roughly $3.5 million or would these exits put you sort of again north of that level, do you think? 
Howard Widra: Yes. I would stay with the $3.5 million, if only because there are lots of transactions or lots of -- there are enough transactions that are scheduled to close like in the latter part of June that could go to July that are -- so it could be below, it could be above. It's just not -- it's not just -- right now.  I mean, Tanner, would you say anything different from that? 
Tanner Powell: Yes. And I'd also clarify a lot of the guidance we gave in terms of sell-down has to do with the noncore. That $3.5 million is really more generated by our corporate portfolio, whether prepayment fee or acceleration of OID to the extent something comes out earlier. And so that number really has to do with normal churn in our corporate lending portfolio and would echo a comment that $3.5 million is a good number to stay with, understanding that it will ebb and flow and some quarters will be above that and some will be below. 
Melissa Wedel: Okay. Appreciate that. And then my last question is around some of the -- it's really a capital allocation question. I noticed the decrease quarter-over-quarter in share repurchase activity. Taking into account your comments earlier on the call about going to take our leverage, potentially a little bit at the margin, maybe some better price opportunities on new investments in the market as far as little bit impacted by volatility, [ net filters ] turn from the liquid market into the private market, makes me wonder if your appetite for share repurchase is sort of an outsized way like we saw in maybe in the December quarter if that's reduced a bit. 
Howard Widra: It may be reduced a bit, but this past quarter, really, the [indiscernible] buyback activity was not really the result of less sort of -- it just tend to do with our window being closed longer and having a 10b5 plan doing sort of automatic purchasing at a lower level than when we do when the window is open. We either buy back at our discretion at times during the quarter and then at some point, the window closes, and it just depends when that occurs. Obviously, in terms of sort of weighing delevering versus buying stock versus doing the incremental next loan, those things are all sort of -- we weigh all of them. We do think buying the stock is a good use of the capital because it's -- obviously, we believe in our NAV. And so we think it's a good purchase. The flip side is, at some point, you just don't want to cannibalize all your capital. And so we try to just balance all of that and sort of updated a regular part of what we do. But yes, I'd like to just buy back in a huge way. I think where our leverage is and where the opportunities in the market are not -- is not [indiscernible]. 
Operator: [Operator Instructions] And our next question will come from Ryan Lynch with KBW. 
Ryan Lynch: Kind of another follow-up question on Merx. Just want to clarify. So I think you said the fair value of the insurance contract is around in kind of the mid-$40 million and you guys have your aircrafts or the value of those aircrafts marked at around $25 million today. Did I get those numbers correct? 
Tanner Powell: Yes. 
Howard Widra: Although the [ fair ] value is not the right number, the contractual claim, I mean, the fair value of the aircraft was $44 million, is that what we were saying previously, and now it's -- now the claim is $25 million. The fair value of the claim is in -- the nominal value of the claim is higher than the $44 million. 
Ryan Lynch: Yes. So that was my -- okay, so that was kind of my point. So is -- or my next question is the -- I mean, I'm not as familiar with how these claims -- these insurance claims work. Is this sort of an event where you guys would expect to get 0 or expect to get all of the amount. And so the current value that you guys haven't marked at is not correct, and it's going to be either a bifurcated [indiscernible] a 0 or a pretty big gain in these depending on how that works. And obviously, you guys are just doing a probability of somewhere in the middle, but is that how we should think about the end result being either a big gain or a big loss ultimately? 
Howard Widra: No, I don't think so. I mean there's multiple insurance policies [indiscernible] global coverage. So there's multiple claims. And so that creates like a diversity of results and then add to that the fact that the more likely result is some kind of settlement below the full face value. It's only because we want to get the money sooner. I mean, we think we have the right claim. But the big issue is really that if it was just us, we think the claim wouldn't be all that hard, but there's -- the insurance company have so much exposure to the industry that they're going to take a more protracted approach. But it is not binary. It is not by any means binary. I mean I think our view is sort of like we have a valid claim. We think there's a possibility of some of the insurance that we have, having arguments against it that is cut into that. And then there's also sort of room to negotiate some to end the discussion. 
Ryan Lynch: Okay. Understood. And then just my other question. I know shipping is becoming a smaller and smaller portion of your portfolio. It sounds like you guys are making some progress post quarter of reducing that. I'm just wondering can you give us any -- just a background on why that sector, your exposure in that sector has been weak? I would just think with that sort of the lack of shipping and kind of the need to move goods around right now and over the last really several quarters when you guys shipping exposure has also been weak in most quarters. What's the dynamic that's really been [ hurting ] those investments? 
Tanner Powell: Yes. I'm happy to try that. So our exposure there, Ryan, is predominantly in product tankers. So I think refined oil products, distillates, that sort of thing. And ultimately, the demand for mid-range product tankers in particular has a lot to do with the regional trade and where goods are moving. More broadly also is when you look at the shipping, I don't want to suggest that it's a perfect inverse by [ interesting imagination ], but there is a dynamic wherein when near-term oil is lower and the curve is in contango as in people anticipate it rising significantly, that pulls on supply across the chain and results in a little bit better [ day ] rates and charter rates in an environment like this, is a little bit more challenged because there's less demand for storage. Anything that anyone can have either a barrel oil and/or a distillate or refined product, they're trying to sell anywhere they can, owing to what the current prices are. And so that's just one example of a dynamic that creates the ebb and flow in those markets. And then -- and so -- and then the last point there to emphasize is the [ marked ] levels that we have on our ships reflect where we are intending to transact and do the exposure. 
Operator: We have no further questions in the queue at this time. So I would like to turn the call back over to our speakers for any additional or closing remarks. 
Howard Widra: Thank you, operator. Thank you, everyone, for listening to today's call. On behalf of the team, we thank you for your time today. Please feel free to reach out to any of us if you have any other questions. Have a good weekend. 
Operator: Thank you, ladies and gentlemen. This does conclude today's presentation. We appreciate your participation, and you may disconnect at any time.